Operator: Hello and welcome to today’s Commercial Metals Company fourth quarter 2010 earnings conference call. At this time all participants are in listen-only mode. After management’s remarks, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised that this call is being recorded today, October 29 and your participation implies consent to our recording of this call. If you do not agree to these terms, simply disconnect. Your host for today’s call is Mr. Murray McClean, Chairman, President and Chief Executive Officer of Commercial Metals Company. Mr. McClean, you may begin your call.
Murray McClean: Good morning and welcome to CMC’s fourth quarter fiscal 2010 conference call. With me is Bill Larson, our Chief Financial Officer and Joe Alvarado, our Chief Operating Officer. I’ll begin the call with an overview of the fourth quarter and then ask Bill to provide further details. Finally, I’ll comment on the outlook for our first quarter fiscal 2011, after which Bill, Joe and I will be happy to answer any questions that you might have. With reference to our fourth quarter fiscal 2010, overall, a modest profit but it’s certainly good to be in the black. Ferrous scrap prices have trended down since April, reaching a bottom in July before recovering in August. Rebar merchant prices have also trended down during this period. We mentioned in our June call that restocking U.S. was largely over by late May. This held true during our fourth quarter, which impacted our U.S. mills capacity utilization rates. In the U.S. non-residential construction continued to be very weak. Public non-residential construction in the U.S. was good, but lacked impact from the stimulus package unlike what has happened in China. In Europe, markets were mixed with good results coming from many European markets north of the Alps. In our case, Poland improved nicely over the quarter. In Asia, China continued its strategies to slow down the economy from a 10% plus growth rate. The Chinese government clamped down many energy intensive industries including many steel mills by cutting off power or surveilling restricting supply. This had the immediate impact of (inaudible) on ore prices and increasing steel prices. The rest of Asia continued on the steady growth trend. Australia despite their elections continued to grow steadily in most sectors. Four out of our five segments were profitable during the quarter, namely recycling Americas mills, international mills and marketing and distribution. Our Americas fabrication segment continued to make a significant loss. I now ask Bill Larson to provide the details on the fourth quarter. Bill?
Bill Larson: Good morning. Let me call to your attention the detailed Safe Harbor statement included in our press release and in our August 31, 2009 10-K that in summary says that in spite of management’s good faith, current opinions on various forward-looking matters circumstances can change and not everything that we think will happen always happens. In addition, we’ve given guidance regarding our outlook for the first quarter of fiscal 2011 in our press release. Subsequent to this call, we will not be under any obligation to update our outlook. In accordance with Regulation G of the Securities and Exchange Commission, you are aware of non-GAAP financial measures. Some of these have derived fairly straightforward from our financial statements or in common business use can be the subject of our discussion today and in our investor visits, but there are other items that may be outside of our ability for discussion. You may need to be patient with us if we defer comment. Our website has additional information at cmc.com. There has been a significant turn in our prospects in Texas since early October, much has the recession has been a once in a career, currencies recovery has been equally dramatic. I am referring, of course, to the Texas Rangers playing in the World Series. I love our investors in the Bay Area and I still do even after the first two losses. I always loved Willie Mays, Juan Marichal, (inaudible). Stan Rabin was a huge Dodger fan. But hey, this is the home team. With the Cowboys on the Highway to Hell, which that’s by the way, that’s a great song by AC/DC, I have got get my antlers and claws up. Hopefully we can in the future speak of a metal’s business dramatic upturn but for now the word is caution. Financially this means that we will continue to hold a strong cash position. At August 31, we had right at (ph) $400 million of cash and short-term investments. As a reminder, our accounts receivable are largely credit insured or backed by letters of credit, our inventories are on LIFO, our goodwill and intangibles are a smaller percentage of our assets, we remain financially strong. After three years of large capital expenditures in 2007, 2008 and 2009, we set a budget of $150 million in 2010 and spent about $125 million. For fiscal 2011, we are again setting a targeted budget of $150 million but we will be constantly monitoring the business case for each project, safety and environmental though will not be delayed. There is a defensive scheme in basketball known as the box-and-one. Four players hold down the paint and one is a chaser. Our fourth quarter results, as Murray, mentioned were like that. Four of our segments; recycling, the American mills and international mills plus international market distribution, stayed in the black paint, and one, the American fab was still chasing it. Each of the four, who made money had both higher sales and higher operating profit in the fourth quarter compared to the fourth quarter of last year and the fabricators were the exact opposite, both their sales and operating profits were lower. Our LIFO reserve at 8/31 was $230 million. The effects of LIFO in the fourth quarter increased net earnings $23 million or $0.20 per share; in last year’s fourth quarter it was about the same, it really was the push in the income of $24 million and $0.21 per share but there is dramatic different in the year. For 2010, LFIO increased net earnings $7 million or $0.07 per share versus last year, it was $208 million or $1.83 a share. Depreciation and amortization for the fourth quarter was $40.5 million that then for the year ended up right at $169 million and in addition to that, there was also $35 million in non-cash impairment charges taken. The expected depreciation for fiscal 2011 is about $179 million. Half of our long-term debt floats on an interest rate swap and the swap saved us during the fourth quarter $3.6 million. SG&A for the fourth quarter went up about $32 million is primarily associated with lower headcount and the associated benefits of that goal with labor. Book value per share at 8/31 is $10.94. For the fourth quarter, our average diluted shares were 114,946,453; year-to-date, the average diluted shares were 113,524,836 and the actual shares outstanding are 114,325,349. Our capital expenditures in through fourth quarter were right at $18 million and as I said, it ended the year at about $125 million, $127 million to be exact. As we look at fiscal 2011, the budget is plus or minus $150 million. Our largest projects are going to be the carryover in the final spending. The Micromill in Arizona, the wire-rod block in the new mill in Zawiercie, Poland and the rest of the Croatian melt shop. New projects that we will undertake will include new recycling equipment, some upgrades to our domestic mills and the remainder are kind of small upgrades in the maintenance and capital expenditures. We did not repurchase any stock in the fourth quarter or in the entire year.
Murray McClean: The outlook for our first quarter of fiscal 2011, we are almost two months into the quarter, so the outlook is a little more predictable than usual. We anticipate a black zero breakeven outside LIFO considerations. Clearly, as Bill mentioned, there is a lot of uncertainty and particularly here in the U.S., slating up to the mid-term elections next week as well seasonal slowdown leading into the winter month will or should impact our results. By segment, we anticipate CMC recycling, Americas recycling, that is the ferrous scrap prices there are trending up from November, however flows are slowing. Non-ferrous scrap in particular, copper remained strong and for this recycling segment, we anticipate it to be profitable based on its lower cost structure. The Americas mills, we anticipate our U.S. steel mills capacity utilization rates overall to be slightly higher than the fourth quarter fiscal 2010 as some seasonal restocking occurs. Rebar prices are likely to remain relatively flat. There could be a modest margin compression based on higher scrap prices. However, overall this segment is likely to be marginally profitable. International marketing and distribution, there is some seasonal slowdown in international markets relating to the winter. However, this segment should remain profitable. We’ll now open up the conference for questions.
Operator: At this time, we will now begin the question-and-answer session. (Operator Instructions). Our first question comes from Luke Folta from Longbow Research. Please go ahead with your question.
Luke Folta – Longbow Research: The question I have here, firstly on your fabrication business, you had guided to further weakness from results in the first quarter. Can you just maybe talk a little bit more about what your backlogs are currently versus what they historically normally are? And then just on the competitive environment, are metal spreads actually coming down in the first quarter, are we seeing sort of stability at low rates?
Murray McClean: I’ll answer the first part and maybe Joe would like to answer the second part. The backlogs are actually pretty constant. They haven’t dropped that much. Depends that’s – overall it depends on what region, the East has dropped some; Central has remained the same, maybe a little bit stronger; and the West about the same. So overall, fairly constant. Joe you want to talk about the margin pressures and –
Joe Alvarado: Yes, we’re expecting a bit of a squeeze on margins in the sense the scrap sizes are starting to move, but there isn’t the strong demand for end-used products. So as Murray commented, we do expect a little bit of a decline in metal margins, but not anything overwhelming.
Luke Folta – Longbow Research: Okay. And, just secondly, your – on the international marketing and distribution business, we had seen revenues increased there pretty meaningfully, sequentially in the fiscal fourth quarter, while margins came, the LIFO doesn’t seem to have been that big of an impact. Can you give us a feel for what was happening there?
Murray McClean: Yes, in the international marketing and distribution, we don’t have LIFO, except for the – which we include in that segment now our US deal import business. So the vast majority of that segment is on FIFO. Yes, there’s some seasonal slowdown there. Yes, and our raw materials business continues very nicely, and we think that will continue even through the winter months. Clearly, the steel business and steel related products is slowing down. I just came back from Australia, the economy there is tremendous. But there is a seasonal slowdown. Ironically, going into the summer, the Aussies take three weeks off and go to the beach and drink beer and all those good things. So there is slowdown coming into December, January, and then they’ll pick up again in February. But since in Australia, they’ve got 18% of their GDP is in projected infrastructure projects, I mean that’s a huge amount of money that will be spent over the next three to five years and starting next year. So Australia is in good shape. Europe marketing distribution, as I mentioned North of Alps, not too bad. And our Asia business, quite good, a bit of a slowdown at this time of the year, but we think that will pick up early next calendar year.
Luke Folta – Longbow Research: And if I can just ask one more, on your international mill segment, startup cost in Croatia looks like there’s two components, some maintenance and then also some startup costs on the LMF. Can you just give us a sense of what those numbers – some sense of magnitude on what those numbers could look like over the next couple of quarters? Thanks a lot.
Murray McClean: Don’t know about the next couple of quarters, but the – that the maintenance costs are probably in the $2 million plus or minus.
Joe Alvarado: Yes, we had a major outage, basically a refurbishment of one of the pipe mill lines and then the capital costs associated with the startup of the LMF, which is being commissioned as speak.
Operator: Our next question comes from Timna Tanners from UBS.
Timna Tanners – UBS: Hi, good morning.
Murray McClean: Good morning, Timna.
Joe Alvarado: Good morning, Timna.
Timna Tanners – UBS: Wanted to ask just – I did hear the detail by segment on the outlook, but for the overall view being kind of breakeven without any LIFO impact, that would imply a nice sequential improvement this last quarter, the fourth quarter, which was profitable, but with a significant LIFO contribution. So what’s the areas, if you can just take a step back, that’s going to see the sequential improvement. Is it the mill business without utilization or where is that coming from?
Murray McClean: Yes, we would say probably the mill business here in the US, but also the international mills. We think Poland could do quite well this quarter, despite Croatia making a loss. So that’s where we would think the upside is Timna.
Timna Tanners – UBS: Okay, that’s helpful. And then just to take a step on other – step over to the balance sheet, I guess it’s helpful to think about your strategy and keeping cash on the balance sheet and managing that. But can you give us an idea about your conversations of the rating agencies. Is there any risk to the investment grade rating or how important is that to you at this point, and given that your dividend is pretty high and the debt metrics aren’t among the best in the group? Thanks.
Murray McClean: Don’t be with them until next week.
Timna Tanners – UBS: Okay.
Murray McClean: I don’t have anything to say.
Timna Tanners – UBS: So how important is it to for you to keep the investment grade rating. Is that important to the international business or how do you look at that?
Murray McClean: It’s better to be investment grade and not be investment grade.
Timna Tanners – UBS: Okay, thank you.
Operator: Our next question comes from Sanil Daptardar from Sentinel Investments.
Sanil Daptardar – Sentinel Investments: Thanks. How do you view the stimulus pending? Do you think that is coming to an end or what stages we might be at?
Murray McClean: Well, we’ve got – if you look at the McGraw Hill Dodge, they are only 36% has been spent – I’m talking construction now which is still related. And I think of the $700 billion odd stimulus package, about $135 billion was targeted for construction. And as I say, only about 36% has been spent as of October, and 5% odd is being bid, and another 60% still to be spent. So we’re halfway if you like. And we would think next calendar year, hopefully this accelerate. I think these midterm elections should give the President and his team a kick on the backside and start spending this money. That’s my personal view.
Sanil Daptardar – Sentinel Investments: So if there is some kind of acceleration probably, because still more than 50% is left, do you think that the non-private sector not spending probably might be somewhat offset by increased spending on the public sector side and it can help your results?
Murray McClean: Yes, we do. I think the private sector can’t get any worse you know. I think it’s at the bottom. So anything on the public or any side benefits to the private will certainly help. So now we just hope the US administration and whoever gets their act together a bit like China, they did in the quarter or two and start to accelerate this process. So I think once these midterm elections are out of the way all of this should be a lot more clarity going forward.
Sanil Daptardar – Sentinel Investments: Okay. Going beyond the first quarter, when you look at the profitability, breakeven in the first quarter, should we assume that the profitability can improve sequentially in each of the quarters in fiscal 2011?
Murray McClean: Well, certainly, obviously the winter quarters historically are first quarter. It depends on how severe the winter is in Poland, but obviously slow down here, recycling with collections, et cetera. But, yes, I think February, March of next year – I just came back from the World Steel Association meeting in Japan earlier this month and apart from the OS in Japan, most markets and Southern Europe is also in that category, a bit more optimistic next year and then in this calendar year. And certainly the markets that we’re in in Poland, Australia, Asia, et cetera, I think you will see a steady improvement. And hopefully here in the US, we’ll see some form of recovery. So, yes, I think our third and fourth quarter fiscal year would like to be stronger than our third and fourth quarter this year that’s just passed.
Sanil Daptardar – Sentinel Investments: So in that case, there is no risk of dividend payments – payouts?
Bill Larson: I’m sorry Sanil, there is no –
Sanil Daptardar – Sentinel Investments: Risk to the –
Bill Larson: No risk to –
Sanil Daptardar – Sentinel Investments: No risk to the dividend payouts.
Bill Larson: For the dividend –
Sanil Daptardar – Sentinel Investments: You’re going to maintain the dividend where it is currently for the rest of the –
Bill Larson: The dividends are declared each quarter based upon how things look at that quarter. So I don’t think any company is going to ever tell you that the dividends are absolutely guaranteed to any great extent. I mean I think much more than that, I don’t think any company is going to go out on the limb.
Sanil Daptardar – Sentinel Investments: Okay. Just last question on the scrap supply, there was a talk about scrap plus the ferrous prices are moving up, but slowing down. Just can you talk qualitatively is there enough scrap in the marketplace or we should continue to see scrap prices moving hard, because I think Vale in their conference call mentioned that iron ore market to be tight again in 2011. So probably there might be – scrap prices might be moving on back of the iron ore prices.
Murray McClean: Yes, they track iron ore prices. Pig iron comes from iron ore. And in my humble view and I’m often wrong is, obviously we see ferrous scrap prices moving up in November, they could come off in December. But I would bid my dollar not your dollar that scrap prices will move up early calendar year as seasonal factors kick into play. So China is on target for 3.5% new production capacity increase next year. And while it doesn’t sound a great deal compared what (inaudible), still 20 million tons to 25 million tons coming onboard their economy. They’ve got their new five-year plan which will be announced shortly. It is refocusing more on the domestic economy. But certainly they have issues with congestion in their major cities. They will be obviously encouraging more infrastructure in the hinterland and the outer provinces, subways, railway systems, et cetera. So China is going to continue to grow. I mean they’ll be down from 10% or 11% this year, but 9% to 10% next year is still pretty strong. And so the view on iron ore, I mean obviously as I say, it’s related to scrap pricing. I think I would be more bullish than pessimistic. I think it will be – we won’t see the big increases we saw on the last year or two, but it should be a steady increase and I would think starting early next calendar year for scarp that is.
Sanil Daptardar – Sentinel Investments: Okay, thanks.
Operator: Our next question comes from Sal Tharani from Goldman Sachs. Please go ahead with your question.
Sal Tharani – Goldman Sachs: Yes.
Murray McClean: Good morning, Sal.
Bill Larson: Good morning, Sal.
Sal Tharani – Goldman Sachs: I wanted to ask you on the fabrication side, they were comments remember last year when making that the actual fabrication selling price in some cases were below the metal price itself, it was so competitive. And I see the – your listed price of $778 for this average fab selling price and the metal price is $636. Is that enough spread to be positive, because I think the conversion cost is that – does that convert the conversion cost or are you still losing money on every time you sell?
Bill Larson: Yes, Sal that covers conversion cost. It varies obviously by facility and the size and scale, and by the type of work they were doing. But there is room and we’d like to have a lot more margin in that, but there is room in that to cover costs.
Sal Tharani – Goldman Sachs: Got you. So it is not the situation like last year where it was so desperate that some of the – sometimes it was selling below the metal cost or close to the metal cost, that’s not the case anymore.
Murray McClean: Well, I wouldn’t say entirely Sal. I mean it is very intense in some markets, depends which – like the East is very intense, and particularly the West is very, very intense. So I think that pressure will be there for the next few months.
Sal Tharani – Goldman Sachs: Okay. And you mentioned the margin – modest margin decline in the US mills. How does it look in Poland? Will that be the same or do you think it will be more flattish?
Bill Larson: I think it’ll be more constant there Sal. I think the – other than the winter seasonality that will be coming in – I think their prospects are a little bit better than ours here.
Sal Tharani – Goldman Sachs: And are you seeing – go ahead, I’m sorry.
Murray McClean: Also, Sal, there the new product mix is starting to kick in from the new flexible mill with higher margin products, particularly merchants in the wire rod up the wire rod block blocks. So that will have an impact even going into the winter months on a positive way.
Sal Tharani – Goldman Sachs: Got you. And are you seeing any – I know that you mentioned comments about how the economy – how well the economy is doing over there, but any significant change in the construction activity from the expected that European football championship or something they’re doing over there?
Murray McClean: Yes, we think Poland is nicely placed. We saw signs over this last summer that obviously you’ve got the winter to face, but definitely infrastructure is increasing there. And even residential is starting to come back modestly and mentally. But we think that will pick up, that’s mainly apartments, but the – those apartments use steel. So we think 2011 calendar year will be a good year for Poland.
Sal Tharani – Goldman Sachs: And lastly on Croatia, once you are done with your changes over there and the new footprint including, what would be the capacity of that plant and different product mix will be over there?
Joe Alvarado: The product mix is going to be heavily dependent on selling blooms as part of our overall strategy for Croatia. And roughly or presently we can – we produce about 7,000 tons of tubular products, we’re ramping up on blooms, and expect to fulfill the rest of the capacity. We’re targeting an overall capacity of about 300,000 tons, the ultimate capacity is at 1 million, running full out, but we’re not expecting to be anywhere near that.
Sal Tharani – Goldman Sachs: And that’s the capacity of modern steel, I mean the crude steel, is that correct?
Joe Alvarado: That’s correct.
Sal Tharani – Goldman Sachs: Okay, great, thank you very much.
Operator: Our next question comes from Evan Kurtz from Morgan Stanley.
Evan Kurtz – Morgan Stanley: Hi, good morning.
Murray McClean: Hi.
Evan Kurtz – Morgan Stanley: Actually I had a follow-up on the – on Croatia. I know we talked earlier in the year you were targeting something like a EUR150 to EUR200 per ton and savings once the mill shop was on and you thought that Croatia might going to be profitable by the end of summer. Sounds like some of that’s getting kind of pushed out to the right at this point. Just wanted to kind of get an update where you are as far as cost targets and timing on that?
Bill Larson: Those cost savings that you referred to are what we are anticipating. Of course, until we get the melt shop up and running, and that includes ladle melt station. It’s hard to realize those benefits. Some of the cost savings also comes from selling blooms and running at higher rates. And, of course, without ladle melt station, it’s difficult to produce trials that would lead to regular commercial orders. So the ladle melt station was to have been commissioned by the end of the summer. We had some delays in equipment delivery. Subsequent to installation we started the ladle melt production earlier this month and it’s progressing nicely. So I would expect it’s going to take us another month or two to get up to a full measure of production and to start realizing some of those benefits.
Evan Kurtz – Morgan Stanley: Okay, good. And just one more on scrap, not to beat the dead horse, but just your view on November scrap, do you have any granularity on prime versus obsolete?
Murray McClean: Not really, we think – we follow obsolete obviously more closely than prime. I’m going to have you – obsolete is probably going to move in the $20 a ton range, there is going to be a big jump.
Evan Kurtz – Morgan Stanley: Got it. Okay. All right, thank you.
Operator: Our next question comes from Charles Bradford from Affiliated Research Group.
Charles Bradford – Affiliated Research Group: Hi, good morning.
Murray McClean: Good morning, Chuck.
Bill Larson: Good morning, Chuck.
Charles Bradford – Affiliated Research Group: Can you talk a bit about – a bit more about rebar pricing? I’m seeing market quotes in the neighborhood of 565 that seems to be on the low side. What are you getting these days?
Murray McClean: Which market, here in the US or international?
Charles Bradford – Affiliated Research Group: No, US.
Murray McClean: Well, we need to be careful with that question for obvious reasons, but I’ll answer it this way, we see US prices if you give (inaudible) to metric tons has been pretty similar to Northern Europe prices, even parts of the Middle East. The highest prices for rebar is still in China and Asian countries, and obviously Brazil is a special case, some markets they’ve got incredible prices, because they – in the way they’re structured. But the prices internationally is fairly somewhat of the US without adding freight, so except for some of those Asian countries.
Charles Bradford – Affiliated Research Group: What would the spread be like with merchants these days?
Murray McClean: The spread is about a 164. It’s come down Chuck, because obviously merchant products pricing was moved down more than rebar pricing.
Charles Bradford – Affiliated Research Group: You mentioned the forecast that the WSA had out for China for 2011 at 3.5%, but also 9% economic growth. How do those two equate, that would seem like a really low steel number if economic growth is 9%.
Murray McClean: Yes, I think there is a few mixed things happening there Chuck, depending on the products I think, there is no doubt that Chinese had high inventories of flat products that took two or three months or more to get through. Long products we see inventory relatively, okay but I think rebar production etcetera has definitely slowed down and probably flattish if not declining slightly in China. And some of that is, the Chinese government some energy policies, they wouldn’t meeting their five year energy plan. So they just cut off the path or severely restricted too many industries including the steel industry and a lot of small Chinese steel mills were effectively shut down and not many rebar producers. So that had an impact there. But going forward, I mean you follow this closely as we do, I mean the automotive industry is extremely strong in China of cars and trucks and buses combined, they’re at the pace of 17 million units this year and by 2015, they’re planning between 23 and 30 million. So there is still consumption, flat productions is obviously going to continue to be strong and white goods strongly as ship building is coming off a bit. And just isolated areas, where they’ve dealt with it, speculation real estate, I think fairly effectively but I think the Chinese were predicting next year 3.5% as I mentioned earlier production increase is probably realistic even though the GDP will be around 9%. And as you know China has got excess capacity. So in some of that unutilized capacity I would suggest we’ll be starting to be used next year.
Charles Bradford – Affiliated Research Group: In the Arizona mill, how would you compare the cash operating costs, basically the conversion costs to some of your other rebar plants?
Bill Larson: Well Chuck, the Arizona mill really is still technically in startup. We’re still working through some issues there. We’re expecting savings clearly on energy cost because of the direct convert – overall on gas for example. But electricity rates are pretty high and particularly in the summer time. So we saw higher costs than we had anticipated from not short perspective but those will smooth as we get into the winter months. So our conversion costs are still above where we expect them to be, partly because of the startup and partly because most recent data with the highest volume production is in the most expensive months. But long-term we expect there to be some savings relative to conversion costs and conventional mills. In certain aspects, not all aspects of the facility.
Charles Bradford – Affiliated Research Group: Thank you very much.
Operator: Our next question comes from James Adler (ph) from Paradigm Capital.
Tim Adler – Paradigm Capital: Hi it’s Tim Adler speaking.
Murray McClean: Hi Tim.
Tim Adler – Paradigm Capital: Hi, first on Croatia. Is the timetable as I recall talking to you about this previously still end of year – end of fiscal year for breakeven?
Bill Larson: Yes, I mean we would anticipate by the end of the year breakeven, correct.
Tim Adler – Paradigm Capital: Okay and it was Croatia that I thought was going to have EU membership by the end of the year, but would be able to ship pair free by the middle of the year?
Murray McClean: That’s the middle of next fiscal year, yes, Croatia was online or on target to join the EU in January 2012. So six months earlier we’ll be out to ship in there but it really won’t effect this fiscal year. It will be really into our fiscal year 2012, it will see that impact.
Tim Adler – Paradigm Capital: Okay. Next question, just on the America margins, sort of a general education I suppose, but under what market conditions would you expect to see selling prices exceed scrap costs so that your metal – got some expansion in metal margins?
Murray McClean: Well, I mean that’s – would expect that normally, your normally scrap is first in the cycle as I mentioned earlier there will be a little bit of pickup in November probably go down and stabilize December. We will think early next calendar year through scrap prices led international demand plus demand from US mills will pick up earlier in the calendar year and then rebar merchant prices follow month or so later. So it takes a couple of months to pick up. So it may be – the finished good prices will go past and metal margins expand again by March, April period that’s my best guess.
Bill Larson: Tim, there is a lot of other dynamics involved. One as Murray mentioned the level of international demand, if one would expect the Chinese to stay in the market but if the Turks drop out or the Koreans drop out and there is more scarp available here in the United States and you’ve got a weak US dollar which will not encourage imports in the United States, you may very well have the case where scrap prices will fall but finished good prices might not.
Tim Adler – Paradigm Capital: Right.
Bill Larson: So that also lead to margin expansion.
Tim Adler – Paradigm Capital: Right, okay. All right, I think I got it. Thank you very much. That’s it for me.
Bill Larson: All right Tim.
Operator: (Operator Instructions) Our next question comes from Brent Thielman from D.A. Davidson.
Brent Thielman – D.A. Davidson: Just wanted to get your perspective on (inaudible) purchase of TIMCO (ph) and how you think that may or may not impact sort of competitive dynamics in the southwestern markets for you?
Murray McClean: Well obviously as strategically they don’t have a mill in the part of the US and whereas their competitors (inaudible) those so that makes sense from their point of view, I would think, yes I mean the markets will clearly change as far as we’re concerned, we’ll continue to supply not only to our rebar fabrication shops but independence as well. So there may be some opportunities for us that people for whatever prefer not to buy from TIMCO, no I don’t know that, time will tell.
Brent Thielman – D.A. Davidson: Okay, great. Thank you.
Operator: Our next question comes from Gregory Macosko from Lord Abbett.
Gregory Macosko – Lord Abbett: Yes, thank you. Could you just go through if you with the SG&A line, I know it was down year-over-year, I don’t have the sequential but what’s your expectation there, what’s putting that at its current level?
Bill Larson: The decreases are clearly tied to headcount reductions Greg and the associated benefits that whether its lower medical or profit sharing or 401(k) matches. So that is the number one. And whatever compensation in terms of bonuses or concerns that is 75% of the answer, I mean rest of it gets caught up in that the largest single item after that was a lowering of bad debt expense. Last year we increased the reserve and took a charge in the $30 million, $35 million range and that did not repeat this year.
Gregory Macosko – Lord Abbett: And is it offing, I mean with increase in sales etcetera, do you expect that line to rise again other than for incentives or whatever.
Bill Larson: No really I think because of the implementation of SAP over the last three years and changes in processes that both has incurred as well as others, that were at a level now that we can grow fairly substantially without increasing the infrastructure of SG&A.
Gregory Macosko – Lord Abbett: Okay, and then finally with regard to the fabrication operations you’ve divested some obviously. What is your expectation there in terms of kind of levels of – cost levels and do you – are you planning more restructuring there, are they kind of at levels, and are just basically waiting for demand to come back?
Murray McClean: Yes, it’s a bit mix Greg, I mean I think some areas of US we’re happy where we’re at I mean obviously you cut too much, you not only get rid of some of your very good people but to start up is very difficult. So you got to be very careful. And but some areas like the west, there has been some further consolidation pulling two fab shops onto one side fragment side (ph). So some of that is ongoing, I would think the bulk of it is done there unless we had a double-dip recession I think that’s likely. So we’re waiting for recovery and we’ll be cautious when that happens in terms of ramping up.
Gregory Macosko – Lord Abbett: Okay, thank you very much.
Operator: And our next question comes from Sal Tharani from Goldman Sachs.
Sal Tharani – Goldman Sachs: Thank you. I’m not sure if you have already touched upon it, but we had seen some uptick in ABI recently, where do you think it’s coming from, what segment of the non-construction do you think is bringing that number above 50?
Murray McClean: Sal, as you know its bit of all over the places, it’s nice it’s finally got over 50 but who knows what next month is going to bring. So we don’t see any clear signs, I mean clearly if it remains above 50 I think for three or four months running you will start to see a trend but, Joe have you seen anything?
Joe Alvarado: Nothing, no I agree with you Murray, it hit above 50 I think for the first time this past month in 24 months. So that’s not a trend yet.
Sal Tharani – Goldman Sachs: Okay, and then lastly the joints business you have divested, had that been with the company you think your fab losses would have been worse?
Murray McClean: If it remained with the company?
Sal Tharani – Goldman Sachs: Yes.
Murray McClean: Yes, I mean clearly we were losing money every month. We would have reduced losses but yes definitely the losses. If you take that to one side, would have continued. And yes as we said we think that’s the weakest sector in the non-residential market and we think it will be one of the last to recover. So that was the main reason why we made that decision.
Sal Tharani – Goldman Sachs: Okay, great. Thank you very much.
Operator: And our final question comes from Timna Tanners from UBS.
Timna Tanners – UBS: Hi just a quick one, I saw that there is a sale to (inaudible) you’re your Australian recycling business and I didn’t hear you touch on it. It is probably small but just wondering if you could give some thoughts on that and any further potential divestitures. Thank you.
Murray McClean: Timna that was extremely small and we were between rock and a half place we have a invest a lot of money in that facility or walk away from it. So we’ve basically decided to sell it. So no, I mean that was only one little recycling facility we had in Australia and that was it, I mean the rest of their operations in Australia are doing very, very well particularly our service centers are now trading business. So that was a small one-off.
Timna Tanners – UBS: Okay and no other divestitures that you would contemplate or non-core items that you’re looking at, at this time?
Bill Larson: As the company overall, no its fair to say we’re always looking and we’re always looking at underperforming units and how you make them better and how long likely to be in the current market environment than, yes I mean we constantly look but we have nothing on the short-term horizon.
Timna Tanners – UBS: Okay, thanks again.
Operator: This concludes today’s question and answer session. At this time I would like to turn the conference call back over to Mr. McClean for any final remarks.
Murray McClean: I just like to thank everyone for your attendance today and I just want to comment that Joe, Bill and I will be on investor visits next week and we’ll be happy to answer further questions during our visit. So thank you very much.
Operator: This concludes today’s conference call. We thank you for attending. You may now disconnect your telephone lines.